Operator: Good afternoon and welcome to the American Outdoor Brands First Quarter Fiscal 2024 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Liz Sharp, Vice President of Investor Relations. Please go ahead.
Liz Sharp: Thank you, and good afternoon. Our comments today may contain predictions, estimates and other forward-looking statements. Our use of words like anticipate, project, estimate, expect, intend, should, could, indicate, suggest, believe and other similar expressions is intended to identify those forward-looking statements. Forward-looking statements also include statements regarding our product development, focus, objectives, strategies and vision, our strategic evolution, our market share and market demand for our products, market and inventory conditions related to our products and in our industry in general and growth opportunities and trends. Our forward-looking statements represent our current judgment about the future, and they are subject to various risks and uncertainties. Risk factors and other considerations that could cause our actual results to be materially different are described in our securities filings. You can find those documents as well as a replay of this call on our website at aob.com. Today's call contains time sensitive information that is accurate only as of this time and we assume no obligation to update any forward-looking statements. Our actual results could differ materially from our statements today. I have a few important items to note about our comments on today's call. First, we reference certain non-GAAP financial measures. Our non-GAAP results exclude amortization of acquired intangible assets, stock compensation, shareholder cooperation agreement costs, facility consolidation costs, technology implementation, acquisition costs, other costs and income tax adjustments. The reconciliations of GAAP financial measures to non-GAAP financial measures, whether they are discussed on today's call, can be found in our filings as well as today's earnings press release, which are posted on our website. Also when we reference EPS, we are always referencing fully diluted EPS. Joining us on today's call is Brian Murphy, President and CEO; and Andy Fulmer, CFO. With that, I'll turn the call over to Brian.
Brian Murphy: Thanks, Liz, and thanks everyone for joining us. I'm pleased with our first quarter fiscal 2024 results, which reflected solid execution in sales, profitability and capital management combined with ongoing progress against our long-term strategic objectives. Net sales were generally flat compared to the prior, our result that met our expectations and that we view favorably given the fact that retailers continue to remain cautious about their inventories and available open to buy dollars in the quarter. We are especially pleased with the longer term growth we delivered. Our first quarter reflected net sales growth of nearly 31% over our pre-pandemic first quarter of fiscal 2020 with growth over 10% in shooting sports and over 54% in outdoor lifestyle, including our acquisition of Grilla Grills. On a year-over-year basis, our Shooting Sports category saw a slight decline in net sales compared to the prior year, a result that is consistent with reports from firearm manufacturers, citing ongoing, heightened channel inventory and reduced consumer demand. And just a reminder, we don't produce firearms, only shooting sports related accessories. The decline in shooting sports was offset by a slight increase in our outdoor lifestyle category, which consists of products related to hunting, fishing, camping, outdoor cooking and rugged outdoor activities. This is a solid result, which we believe reflects the strength of our brands in the category and the success of our strategy to invest in this growing part of our business. We continue to benefit from our strategy to intentionally place our brands where consumers expect to find them whether online or in store. In our traditional channel, net sales growth was strong, supported by new product introductions in hunting and fishing under our BOG and Bubba brands. We are encouraged by this result as we believe it reflects the ongoing convergence of inventory destocking activities by retailers with their need to replenish inventories. It also bodes well for many of our brands since we believe retailers are seeking out innovative products to help drive foot traffic and attract today's more discerning consumer. Net sales in our e-commerce channel declined year-over-year, driven primarily by our largest online retailer or partially offset by increased sales of certain hunting and shooting sports products to other online retailers. Online net sales of MEAT! Your Maker and Grilla, our two direct-to-consumer only brands were up slightly year-over-year. MEAT and Grilla generated over 35% of our total e-commerce sales and together, they delivered strong trailing 12 months net sales of over $24 million. That said, due to the planned closures of our Michigan and Texas retail Grilla stores, total net sales for these two brands were down slightly in the quarter. For several quarters now, we have provided certain sales data on Grilla and MEAT for three reasons. First, to demonstrate the performance of Grilla for its first year under our ownership since the acquisition. Second, to highlight the success, we can achieve by organically creating and launching a brand MEAT, using our brand lean architecture. And third, to provide a proxy for how well our brands are resonating directly with consumers since both of these brands have thus far been sold exclusively D2C. This is especially the case recently as the retail channel has been experiencing inventory challenges. Now, and as we've outlined in our strategic plan, we have the opportunity to expand the reach of these brands by moving them into retail distribution in the near future. This is an exciting and important step in our strategic plan that will allow our brands to access bigger markets and make it easier for consumers to find our products wherever they shop. It's important to note, however, that our goal is not to make it easier for competitors to target us. Therefore, in order to maintain our competitive advantage, we don't plan to detailed quarterly sales data on MEAT and Grilla going forward. Instead, (ph) we intend to begin reporting on an annual basis our direct-to-consumer sales totals as a subset of our total e-commerce sales. Turning back to the quarter. Point of sale data we received from our retailers indicates that sales of our products declined slightly in the first quarter, driven almost entirely by products in the shooting sports category. This is not a surprising result given the current environment. At the same time, POS data also indicates that channel inventory of our products improved in the quarter, lower on a sequential basis from Q4 and down in the mid-teens on a percentage basis year-over-year. We view this as a positive dynamic, which supports our belief, they will begin to see an increase in replenishment orders in the second half of the year. Innovation is our core strength and a key element in our long growth strategy. Our innovation engine fueled by our Dock & Unlock process is robust, a new products launched in the last two years generated over 21% of our first quarter net sales, a result that met our expectations. In the first quarter, we officially launched our new BUBBA tournament-grade Pro Series Smart Fish Scale or the BUBBA Pro SFS. Our first entry into the large underserved catch and release market. Since its launch in May, the BUBBA Pro SFS was awarded Best Cutlery Hand Pliers and Tools at ICAS 2023, the world's largest sport fishing tradeshow and was named the official scale of Major League Fishing or MLF beginning with the 2024 Bass Pro Tour season. Consumer response has been very strong and the MLF has just commenced filming competitions that will start to air in early 2024. It's early in the game, but we're very excited about what this partnership can do for the BUBBA brand long term. With that, I'll turn it over to Andy to discuss our financial results.
Andrew Fulmer: Thanks, Brian. During Q1, we strengthened our balance sheet, fully paid-off the outstanding balance on our line of credit, demonstrated effective capital deployment with our share repurchase program, and delivered net sales and profitability in line with our expectations. All while navigating ongoing market challenges that included a continuation of cautious inventory management by retailers. We are pleased with our results for the quarter so let me walk you through the details. Net sales for Q1 were $43.4 million, compared to $43.7 million in Q1 last year, a slight decrease of 0.5%. Compared to pre-pandemic Q1 of fiscal 2020, net sales increased by 30.8% including the acquisition of Grilla. On a category basis, net sales in our outdoor lifestyle category increased slightly by 0.4%. This is a great result, which we believe demonstrates the strength of our brands and our new product capabilities. Turning to the Shooting Sports category. Net sales of shooting sports decreased by just 1.5% compared to Q1 last year. This too is a great result, given that net sales in the Shooting Sports category tend to align with trends in the firearms industry and adjusted NICS (ph) results, which have been under pressure. Our go-to-market strategy was formulated to intentionally place our brands where consumers expect to find them, whether that's online or in traditional brick-and-motor locations. Therefore by design net sales in these channels can fluctuate from quarter-to-quarter based on consumer buying preferences. On a channel basis, first quarter net sales in our traditional channel increased 8.4% and net sales in our e-commerce channel decreased 10.6%. Turning to gross margin. Gross margin for Q1 came in at 45.4%, 180 basis points higher than our gross margin for Q1 last year. This result was driven primarily by lower inbound container freight costs. Turning to operating expenses. GAAP operating expenses for the quarter were $23.8 million compared to $24.6 million last year. The decrease was driven by one-time legal and advisory fees we incurred in Q1 last year relating to a shareholder cooperation agreement offset by an increase in outbound freight costs. On a non-GAAP basis operating expenses in Q1 were up slightly to $19.6 million compared to $19 million in Q1 of last year. Non-GAAP operating expenses exclude intangible amortization, stock-compensation and certain non-recurring expenses as they occur. GAAP EPS for Q1 was negative $0.31, as compared with negative $0.42 last year. Our GAAP income tax expense was negatively impacted by approximately $0.07 due to evaluation allowance recorded against our deferred tax assets and an accounting treatment that removes any tax benefit we would have derived from our GAAP loss from operations. Excluding that impact, GAAP EPS would have been approximately negative $0.24 in Q1 of this year, and negative $0.32 in Q1 of last year. On a non-GAAP basis, EPS was unchanged at $0.01 for the first quarter, both this year and last year. Our Q1 figures are based on our fully diluted share count of approximately 13.2 million shares. For full fiscal 2024, we expect our fully diluted share count will be about 13.5 million shares. Adjusted EBITDAS for the quarter was $1.1 million compared to $1.4 million last year. Turning now to the balance sheet and cash flow. We continue to be pleased with our efforts to further strengthen our balance sheet. In the first quarter of fiscal 2024, we generated strong operating cash flow and free cash flow and continued to demonstrate effective capital deployment. Let me provide some of the details. We ended the quarter with cash of $18.7 million, after paying down $5 million on our line of credit and repurchasing approximately $2.3 million of our common stock. We generated $5.2 million in cash from operations and we invested just over $800,000 in CapEx resulting in free cash flow of approximately $4.3 million for the quarter. You’ll recall last quarter, I indicated our inventory levels would rise to above $100 million in Q1 and Q2, a planned increase design to support the fall hunting and holiday seasons, as well as new products that are scheduled for launch later this fiscal year. Consistent with this plan, our inventory levels increased by $5.2 million in the first quarter. It's worth noting that while we expect inventory levels to be above $100 million in Q2 and Q3 as well, we do expect them to move below $100 million by the end of fiscal 2024. We ended the quarter with no outstanding balance on our $75 million expandable line of credit, bringing our total available capital to over $108 million. Turning to capital expenditures. We spent just over $800,000 on CapEx for the first quarter, mainly for product tooling and patent costs. And as a reminder, our ERP project is now complete. For full fiscal 2024, we expect to spend between $3.5 million and $4.5 million for product tooling and maintenance. In addition, we expect a one-time spend of approximately $2.5 million to purchase assets such as warehouse racking, office furniture and other fixtures when we assume the full lease at our Columbia, Missouri facility on January 1. Therefore we expect total CapEx spend in fiscal 2024 in the range of $6 million to $7 million. The strength of our balance sheet allows us to employ all three of our capital allocation priorities: organic growth, M&A and returning capital to shareholders based on what is most opportunistic at the time. In the first quarter, we continued to return capital to shareholders through the stock repurchase program authorized by our board last September. In Q1, we repurchased roughly 268,000 shares at an average price of $8.43. Since the program began, we have repurchased roughly 645,000 shares or almost 5% of our shares, at an average price of $8.96 per share. Now we turning to our outlook. We continue to believe that fiscal 2024 could deliver fully year net sales growth of up to 3.5% supported by market share gains, expanded distribution and planned new product launches. We expect that growth will likely begin in Q3, following a year-over-year decline in revenue for Q2 due to the timing of shipments in first half of fiscal 2024. As a reminder, our business typically follows a seasonal pattern with Q1 as the lowest net sales quarter, Q2 and Q3 as the highest net sales quarters, and Q4 coming in higher than Q1 and we expect that pattern to continue in fiscal 2024. This pattern typically drives an increase in accounts receivable and a corresponding decrease in cash in Q2, with that cash collected by the end of the fiscal year. Turning to gross margins. We expect fiscal ‘24 gross margins to remain flat to fiscal 2023. With regard to OpEx, we believe that overall OpEx for fiscal 2024 will increase slightly, mainly from higher selling and distribution costs, offset by reductions from our facility consolidations, one-time legal and advisory fees, and IT implementation costs. Based on these factors, we continue to believe our adjusted EBITDAS in fiscal 2024 could increase as much as 6.5% compared to fiscal 2023. One final note one income tax expense, due to valuation allowance I discussed earlier, we expect to incur a small amount of income tax expense for GAAP purposes in each quarter for the remainder of fiscal 2024. With that, operator, please open the call for questions from our analyst.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question today is from Eric Wold with B. Riley Securities. Please go ahead.
Eric Wold: Thank you. Good afternoon. Couple of questions. I guess, one, just on the -- one on the guidance, just given expectations for flat gross margins? I still recall from the Q4 call, you're looking for margins to be up this year on lower freight expenses, benefits from the facility consolidation. Maybe what has changed your view from right or remembering that from where you were two months ago?
Andrew Fulmer: Yeah, Eric. This is Andy. Great question. We did have some higher variances in the first quarter that we expect to kind of amortize off in Q3. So Q3 margin, we're expecting to be down a little bit and that kind of will offset the increase in gross margin you saw in Q1. It's really just a function of how our amortization works over our inventory turns.
Eric Wold: Got it. Okay. And then digging into the POS a little bit, any sense from -- if you dive into the data a little bit in terms of what you're seeing in terms of demand by price points, anything -- any major shifts that give you their increased confidence or increased concern around some of the consumer demographics?
Brian Murphy: Yeah, Eric. This is Brian. So I guess, so specific to price points, I wouldn't say that we're seeing much, much variance at least in the data that we can see, right? So most of our brands are kind of at that mid to high price point, where we play. So we still maintain the view that that consumer seems to be somewhat more insulated than a lower price point items. So I can't really speak to some of those lower price point ones. Is there anything, anything else in particular outside of price that you have a question about it related to POS?
Eric Wold: I mean, any trends that you're seeing maybe that would give you increased confidence or maybe concern around kind of the underlying demand maybe outside of price in terms of product categories, regional differences?
Brian Murphy: Yeah. I mean, I think we're seeing, like we said, we're pleased with at least in the current quarter what POS trends have been, while they were down slightly in shooting sports pretty flat as it relates to outdoor lifestyle. So I'd say between those two categories, outdoor lifestyle seems to be the most resilient at this time. But we are seeing some nice stabilization in shooting sports and -- but I think those the retailers that are selling more of that product are seeing a bigger impact at this point. So outdoor lifestyle in particular seems to be doing much better. And then specifically within outdoor lifestyle, hunting. Hunting has been doing pretty well. Fishing has been doing pretty well for us. So I'd say on a whole outdoor lifestyle seems to be very much better right now.
Eric Wold: Got it. And then just final question, I'll make an effort on it. With the BUBBA Fishing scale launch and the app launch, any early indicators or data points you want to throw it around, attach rates of app downloads to scale purchasers or subscriptions, anything or is it still a little too early?
Brian Murphy: It's a little early. One, I'm happy that you ask the question because we're also obviously very excited about the scale. The MLF partnership is a huge deal for us and we hope it's a huge deal for the MLF and we've got some big plans with that partnership going forward. With that said, I mean, the reception for consumers has been overwhelmingly positive. It's got, gosh, last night, look 5 stars on the app store within Apple. I think close to 150 reviews, which for a very technical product, we're very, very, very happy about because that just increases the stickiness. So it's exceeded our expectations thus far, but I think it's still a little too early to begin sharing some of that data.
Eric Wold: Got it. Thank you guys. Appreciate it.
Brian Murphy: Yeah. Thanks, Eric.
Operator: The next question is from Mark Smith with Lake Street. Please go ahead.
Alex Sturnieks: Hey, guys. It's Alex Sturnieks on the line for Mark Smith today. Just first off, you guys kind of discussed the retail channel performing well. Could you maybe talk more about any additional retail locations you guys have entered in the quarter? And then maybe how you feel about your shelf space for your brands and products there?
Brian Murphy: Yeah. So hey, Alex, this is Brian. So I'd say within the quarter, retail, we did see an increase in international sales. So on the traditional side, obviously traditional was up about 8.5% maybe a little shy of that in the quarter. E-com was down slightly. So we are seeing some pretty good traction with traditional retailers, physical retail stores. Also as a reminder, e-comm was -- had some pretty significant increases over the last couple of years as people were stuck at home and doing more of that ordering. But in terms of what's driving that, it is market share. We are seeing that in several categories. And the way we'd also define market share is through the introduction of new products. So we are, as you know, a very innovative company and focused on both new product launches. And so for us to be able to maintain and capture even more of that. We believe is certainly reflected in those numbers.
Alex Sturnieks: Yeah. That's helpful. So then kind of on the line of new products too, how do you feel about the distribution of BUBBA products in both historically more coastal markets and then also like more so in the inland markets as well?
Brian Murphy: Yeah. That's a great, great question. Have been wondering if you're an angler yourself. So one of the challenges we had when we bought BUBBA was to your point, it was mostly a coastal brand and in particular it was focused on fillet knives. And so our goal was to take that brand, take the DNA. And we saw this much larger market in freshwater, which is more inland and thought to ourselves, how do we go after that market? So we started with obviously introducing other cutlery related items and tools. And so the smart fish scale for us, I know we talk a lot about it. You're probably getting sick of us talking about it at this point. But it really was our clever way of entering that market. And if you want to do something like that, it's best to establish a beachhead through innovation and then coming behind it with other products. So for us, it's an important beachhead to continue introducing the BUBBA brand to that consumer. So like if you were to look at Google Trends, for example, and look at BUBBA blade versus BUBBA and some of the freshwater products versus salt. You're going to begin to see that there is sort of this climbing interest in the middle of country, especially around freshwater lakes and things and it's really part of that strategy. So I think that it's pretty rare for a fishing brand to crossover from salt to fresh and from fresh to salt, et cetera. But that's sort of our strategy has been and we're seeing the traction of that right now. So at the store level, certainly, we've gone from being very well penetrated on the coasts and we're seeing much more adoption for the BUBBA brand, in the middle of the U.S.
Alex Sturnieks: Yeah. That's awesome to hear. And then just a quick last one for me. You guys kind of touched your balance sheet improved during the quarter, it's looking pretty healthy. Can you guys discuss a little bit more in-depth about your thoughts around the capital allocation? But with the new products innovation seeming to drive these sales, could you see some additional spending in R&D to drive more product innovation, the upcoming quarters or kind of how are you going to go about that with your allocation there?
Brian Murphy: Yeah. Great question. This is Brian again. And Andy, Andy can chime in. So, we are focused on obviously organic growth, M&A, share buybacks being our kind of primary three. Obviously, we paid down debt as well in the quarter. But we are very focused on organic through innovation and it's one of the reasons, one of our strategies for maintaining our margins and ultimately higher ASPs, et cetera. So when we think about that, R&D, to your point, it's a huge part of that, right? I mean, gosh, almost 12% to 15% of our total workforce are people that are dedicated to just R&D and product development, which in my view is a very, it's a high percentage relative to some of the other companies that I'm aware of and have even looked at to acquire. And so one of the reasons why I think it is a lighter percentage relative to the total versus some other companies. is the fact that we have through consolidation moving facilities into Columbia. We've used some of those savings to bulk up our R&D department. So instead of outsourcing prototyping instead of outsourcing some of those functions, or even relying upon other third parties. We've decided to take that in-house and really leverage the intellectual property we have through our incredible engineers and designers and do most of what we can in house. So that gets us to market more quickly. It ensures that we can sort of lock up this innovation pipeline that we've talked about. So I think as a percentage of sales, I think it's a good number. But I don't think we're missing any dollars there. I think spending it wisely. And our pipeline as you'll see over the coming years will definitely show the fruit of that.
Alex Sturnieks: Hey, thanks. That's very helpful. Thank you guys.
Brian Murphy: Yeah. Thanks, Alex.
Operator: [Operator Instructions] The next question is from Matt Koranda with ROTH Capital Partners. Please go ahead.
Matthew Koranda: Hey, guys. Good afternoon. Wondered if you could maybe just elaborate a bit more on the retail expansion for Grilla and MEAT. I know you said you're not going to necessarily be providing quarterly data points on it, but I'm just curious at a higher level, any way to think about the entry into retail, whether that's through specific strategic retailers that you'll be dealing with, are there limited SKUs you're going into retail with or are you going in with the full set of SKUs that they offer timing of entry? Is that factored into the growth outlook this year? Just some details, high level on that would be very helpful.
Brian Murphy: Yeah, certainly. Hey, Matt. This is Brian. So yeah, I mean, we're very excited about MEAT and Grilla and one of the strategies that we had, one, when we started MEAT was to generate enough interest where we could get the opportunity to place it at certain retailers. And if you have an unknown brand and you're trying to sell it into retail, it's a much more difficult value proposition. If it's a brand that has gained steam, it's more well known, influencers are getting behind the brand. You get to a point where retailers are approaching you and that's definitely the case that we're faced with the opportunity. So we have been very careful about when to bring MEAT! Your Maker into retail. And obviously, we bought Grilla, just over a year ago and so the same there. And we've been, we've enjoyed the direct-to-consumer path. We think there's still tremendous upside for those two brands in direct-to-consumer. With that said, there is an opportunity to get the brands in front of consumers because that is part of marketing. Some folks that is their exposure to certain brands. And so we have been approached by some retailers that we think very, very highly of have been good partners of ours. And to have a specific viewpoint on how to approach the market with the new brand and some innovation. And so we are, we have been selective with who those retail partners are. I can't share those with you right now. But ultimately, we're going to start out small make sure that we have the right sort of flywheel built with the consumer, make sure that we're supporting it appropriately. We've seen brands go into retail too quickly, too much too soon. And we've sort of learned from that on the sidelines and so we want to do it in the right way certainly, come out with the splash with certain retailers and then assess as we go forward. So, we're being a little cautious on sharing too much, but we do expect this year in this fiscal to be announcing some of those some of that placement.
Matthew Koranda: Okay. That's fair. And just maybe spinning back to the retailer inventory health that you talked about in the prepared remarks and maybe discussed a bit in the Q&A here. Just curious how we're thinking about a replenish cycle and how that kicks off? I mean, we've just gotten a lot of data points recently from retailers that suggest that consumer demand is still pretty soft and it just seems like retailers are still quite reticent to take on a lot of inventory. So curious how you think that plays out this year? I know you said probably more likely to result in back half growth, but just maybe if you could elaborate on how you're thinking about the replenishment cycle, as we get into the back half of the year?
Brian Murphy: Yeah. Great question, Matt. It's Brian again and Andy feel free to jump in. I think it's -- there's a few things here. One is, there aren't any sort of broad brush strokes across the retail landscape. We're seeing a tale of many cities. We're seeing some retailers depending on the product categories that they're in are faring better than others and others that have managed inventory more tightly that we've seen them bounce back already. When we look at replenishment, we're having this conversation before the call, we do get replenishment. It's not like a flip, a light switch flips as you know. And all of a sudden they start ordering. They're already ordering. All these retailers are still replenishing their inventories with our products, but it's a matter of looking at their targeted inventory turns in the year and as consumer demand has slowed that number in order to reach those turns is somewhat of a moving target and I think you've even maybe commented on that some of your in some of your reports. So the other dynamic that I haven't really seen come out in earnings calls is, is the fact that, that some retailers really had to look to online sales to be successful over the last two to three years or the other ones had to play hurry up offense. And so that gave them a tremendous benefit. As a result, if you look at the same demand, if you just assume the same demand pre-COVID versus where we are today, or what a normalized level looks like. I think you're going to see some retailers who are well run carry less inventory because they may have some vendors who are able to do more drop shipping. So what that means for them is they can obviously offer more assortment. But at the same time, they don't have to carry that inventory. They can sort of lean on the manufacturers of the vendors more to carry some of that. So, yet to be seen what that looks like, but I think the vendors that have that capability to dropship and can do it effectively and be a good partner with some of those retailers. I think we'll see some of those, be more successful. And certainly we have that ability. Does that answer your question, Matt?
Matthew Koranda: Yeah, absolutely. That's very helpful, Brian. Thank you. And then I guess just maybe one for Andy, and I think maybe this has been asked in different ways in the past. But as you take over the full lease in the Columbia facility. Just curious how we should be thinking about modeling OpEx costs in the back half of the year, since it's the Jan 1, I think take over?
Andrew Fulmer: Yeah. Great question. It is January 1st, we take that over. That is built into our OpEx assumptions and the framework that we provided with the EBITDAS could be up to 6.5%. I can't really get more specific than that. I think what you'll see is as we get closer, when we take that the extra space over and then into the next fiscal year, we'll be able to share more details.
Matthew Koranda: Okay. Fair enough. And then I guess just last one, I guess it's somewhat of a traditional question. Lots of different people attack it on these calls, but maybe Brian, could you take a crack at talking about M&A and just the funnel as we see it today? I mean, now that you have the debt, basically wiped clean, share buybacks been exercised with good results. Just curious how we should be thinking about M&A, our appetite there, what the funnel looks like, how folks are thinking about valuation? Are there more catalysts to bring folks to the market? What are you seeing on that front?
Brian Murphy: Yeah. So, I kind of give you a sense for the environment right now. And then what I think is just my own opinion what I think will sort of happen in the next few quarters based on our conversations with people. But certainly, we've seen the number of deals come to market by sell-side advisors, investment bankers has come down pretty significantly. And I think that's for two reasons. One is valuation expectations have lowered. And also, I think that some of those companies, depending on which categories they're in, have -- maybe have now reached a run rate EBITDA that they would like to get sort of credit for going forward. And so they're looking for sort of multiple stabilization, run rate stabilization, before they come back to market. With that said, we are seeing fewer deals, but we are continuing to be very, very aggressive in our outbound efforts. So both Andy and I are always picking up the phone reaching out to people that we want to go after that we think would be highly complementary. And so that continues. And so we've got a, I've all these that were robust. We've got a very robust pipeline and a number of people that we're currently speaking with and we'll see where those go. Like you said, we've got a very clean balance sheet. We have capacity. We're in a great spot and we're also not sacrificing our efforts on the share repurchase side. So we're in about as good as a position as you can be in, I think. when it comes to M&A. And then looking out, I think, look, Q1, Q2 -- calendar, Q1, Q2 of next year, I think that we will start to see more deals come back to market. That's sort of the sense that I have in speaking with advisors and with companies directly. Because I think they'll have more line of sight around what run rate, EBITDA performance looks like. And that's very similar to what you're hearing from people like us and even other public companies as they sort of look down the barrel of some of these forecasts that provided to us from our retailers and give us that sort of more comfort based on what we know today about replenishment coming back.
Matthew Koranda: Okay. Super helpful. I'll leave it there guys. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brian Murphy for any closing remarks.
Brian Murphy: Thank you, operator. Please note, we will be participating in two upcoming investor conferences, the Lake Street Conference in New York City on September 14th. And the CL King Best Ideas Virtual Conference on September 18th. We hope to see some of you at those events. In closing, I want to thank our employees across American Outdoor Brands for their great work this quarter and for helping our customers and our consumers make the most out of the moments that matter. Thank you everyone for joining us. We look forward to speaking with you again next quarter.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.